Operator: Welcome to Flushing Financial Corporation's 2017 Fourth Quarter Earnings Conference Call. Hosting the call today are John Buran, President and Chief Executive Officer, and Susan Cullen, Senior Executive Vice President, Treasurer and Chief Financial Officer. Today's call is being recorded. [Operator Instructions] A copy of the fourth quarter earnings release and slide presentation that the company will be referencing today are available on its Investor Relations website at www.flushingbank.com. Before beginning, the Company would like to remind you that discussions during this call contains forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Such statements are subject to risks, uncertainties and other factors that may cause actual results to differ materially from those contained in such statements. Such factors are included in our filings with the US Securities and Exchange Commission. Flushing Financial Corporation does not undertake any obligation to update any forward-looking statements except as required under applicable law. During this call, references to several non-GAAP financial measures, as supplemental measures to review and assess operating performance, will be made. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with US GAAP. For any information about these non-GAAP measures and reconciliation to GAAP measures, please refer to the earnings release. I'd now like to introduce John Buran, President and Chief Executive Officer, who will provide an overview of the strategy and results.
John Buran: Thank you. Good morning. And welcome to our fourth quarter earnings call. As part of our continuing effort to increase financial transparency and investor engagement, we hope to provide you with additional insight into our business strategy, earnings power, and sustainable competitive advantages. Our vision as a company remains the same and that is to be the preeminent community bank in a multicultural market. We create value and attract new customers by delivering a superior and consistent experience through quality service and personalized attention as we continue to execute and deliver profitable growth. Today, I'll start with our fourth quarter and 2017 highlights, followed by a brief overview of the strategies that we're successfully executing to create long-term shareholder value. Then, Susan Cullen, our CFO, will review our financial performance in greater detail. Susan and I will address your questions at the end of our prepared remarks as time permits. We recognized record net interest income for the year as a result of executing our strategic initiative of focusing on loan yield as opposed to volume. Additionally, during the quarter, we reduced future credit risk, reduced future interest rate risk and improved the scalability of branch network expenses. Starting on Page 3, as announced in yesterday’s press release, fourth quarter 2017 GAAP diluted EPS was $0.21 and core diluted EPS was $0.33. Due to the U.S. Federal tax reform, we recognized a charge of $3.8 million or $0.13 a share related to the revaluation of our net deferred tax assets. During the fourth quarter, we also recorded a provision for loan losses of $6.6 million reducing EPS by $0.13 after-tax as we reduced our taxi medallion portfolio by over 50% to a remaining conservative book value of $6.8 million and placed all taxi medallion loans on non-accrual status. After observing two successive auctions resulting in sub-$200,000 sales, we concluded this was the current valuation. As a result of those auctions, we believe the market on taxi medallion loans has bottomed out putting any medallion credit concerns behind us. At December 31, 2017, our average exposure is $164,000 per New York City taxi medallion. Credit quality on the remaining 99.9% of our portfolio remains strong. At year end, non-performing loans were just 35 basis points of gross loans and we have no OREO properties. Non-performing assets were 29 basis points of total assets. Given the low LTV associated with the non-performing loans of just 40%, we do not foresee an increase in related expenses. Our cost of funds increased two basis points versus the third quarter in 2017. Contrary to the normal historical patterns, government deposits did not replenished to the projected amount which caused us to rely on higher costing short-term borrowings. We have seen that trend reverse as $327 million of government deposits returned through January 25, 2018. We took steps to improve our future interest rate position as we entered into forward swap contracts totaling approximately $400 million during the recent quarter. We continued to reap the benefits of our strategy of focusing our origination efforts on higher yielding loans. This effort provided a 31 basis point year-over-year improvement in the yield received on new loans to 4.06%. Although we did experienced a decline of 10 basis points in new loans received in the fourth quarter compared to the third, the yield on the fourth quarter did exceed the fourth quarter of 2016 by 34 basis points. This quarterly yield is also six basis points greater than the quarterly net average yield of our total loan portfolio for the same period. Expansion of loan yields with solid loan growth remains a focus for us. Our total loan portfolio grew 7% in 2017, while holding on to strong underwriting standards. The pipeline of $360 million remains strong and supports our expectation of solid loan growth in 2018. During the year, we implemented two initiatives to enhance our brand in the marketplace. In the online space and as mentioned during the third quarter, we launched BankPurely, our internet-based eco-friendly healthier lifestyle community brand. Our second initiative focused on the Asian community in the Flushing market which included the relocation of three branches into two modernized offices during the fourth quarter. Customer acceptance of our Universal Banker model, as well as our unique video banking service has been high enabling us together more than $32 million in new deposits in the Flushing market. We are improving scalability and efficiency by converting our branches to the Universal Banker model, which provides our customers with cutting-edge technology including state-of-the-art ATMs and a higher quality service experience. We remain on track to complete all branch conversions by the end of 2019 and continue to anticipate seeing savings of 20% in compensation cost at the Universal Banker branches. In the branches, using the Universal Banker model for December, over 60% of customer transactions were completed at our high powered ATMs. As you may recall, we’ve been piloting Video Banker, which gives customers face-to-face access from 7 AM to 11 PM, seven days a week via video link at our ATM terminals. As this enhancement has been positively received by our customers, we plan to rollout this feature further this year. These efforts among others, contributed to controlling expenses resulting in an efficiency ratio of 55% in the fourth quarter of 2017. We’ve remained dedicated and will continue to execute to achieve our long-term goal of maintaining an efficiency ratio in the low to mid-50s. Slide 4 provides similar highlights for 2017 as we had a record year in net interest income with core EPS up $0.05 or 3.3% year-over-year including the impact from loan losses in the taxi medallion portfolio. For those new to our story, Slide 5 provides a summary of our key focus areas which remain consistent with exceeding customer expectations enhancing earnings power, strengthening our commercial bank balance sheet and maintaining a strong risk management philosophy. Our sustainable competitive advantages include having a branch staff that speaks more than 30 languages to serve our customers in the New York City metro area, one of the most ethnically diverse regions in the country. Additionally, we have a strong focus on the Asian community where we have more than $500 million in deposits. These deposits have a lower cost of funds than our total cost of funds at 95 basis points. As many of you already know, the Asian markets surrounding the Flushing branches have very attractive business dynamics. First is a high degree of saving available deposits and a significant number of small business owners. We are capitalizing on this business environment with the recent openings in November of our new remodeled and modernized Universal Banker branches. We remain a preeminent commercial real estate lender focused on the origination of multifamily mortgage, commercial business and commercial real estate loans while continuing to be nimble and responsive to industry shifts. Combining our customer focus and competitive strength as a relationship-oriented lender has enabled us to transform formerly transactional-based customers into deeper, long-term full banking relationships. Our risk management philosophy remains constant and is proven to service well throughout all phases of the credit cycle. The loan-to-value on current quarter originations of multifamily commercial real estate and one-to-four family mixed use loans was 50% with a debt coverage of 172%. Our conservative underwriting standards, loan loss reserves and minimal delinquencies and low LTVs give us confidence that net charge-offs will remain below industry averages over the long-term. Our strong balance sheet, liquidity, capital levels, ability to grow core deposits, investments in talent, innovation, technology and cyber security, as well as our risk management philosophy, all position the company very well to deliver profitable growth and long-term value to our shareholders as we continue to execute our strategic objectives which are on Slide 6. Increased core deposits and continued to improve funding mix, increased net interest income by leveraging loan pricing opportunities, enhance core earnings by improving scalability and efficiency, managed credit risk and to remain well-capitalized under all stress test scenarios. We’ll continue to focus on these strategic objectives to achieve profitable growth and maximize shareholder value. As you may already know, we have consistently raised our dividend in the first quarter of each year since 2014 and have paid a dividend every quarter since September 1996. We recently announced that our Board of Directors approved a plan to increase the dividend in 2018 by $0.02 per quarter and provide a bonus for all non-executive employees as a result of the benefits derived from the recent tax reform. Each full-time and part-time non-executive employee received a one-time grossed up bonus of $1000 and $500 respectively. We continue to evaluate opportunities to invest additional tax savings into the business to position the company for future growth. We expect to further benefit from the tax reform and believe it is catalyst for economic activity and growth. At this point, I’ll turn it over to Susan to discuss the quarter’s financial results in greater detail.
Susan Cullen: Thank you, John. I’ll start on Slide 7. Total loans were $5.2 billion, up 2% quarter-over-quarter and up 7% from December 31, 2016 as we continue to focus on the origination of multifamily commercial real estate and commercial business loans with full-banking relationships. We continue to diversify our loan portfolio as C&I originations for the quarter were 37% of total originations versus the existing portfolio totaling of 14% of gross loans. At December 31, our loan pipeline was strong and totaled $360 million, which is down from the last quarter, but up from a year ago. The interest rate on the real estate loans in the pipeline increased to 4.10% from an average rate of 4.04% for the linked quarter. The loan-to-value ratio on our real estate portfolio at quarter-end remains a modest 39%. On slide 8, deposits increased 4% year-over-year but declined 1% quarter-over-quarter. As John noted, government deposits did not replenish as quickly as we expected during the fourth quarter resulting in an increase in loans-to-deposit ratio. However, through January 25, 2018, we’ve already seen government deposits increase $327 million. Year-over-year growth in the deposit base is primarily driven by money market non-interest bearing and savings accounts. We continued to increase core deposits, as represented by the year-over-year growth, with an emphasis on non-interest-bearing deposits, which increased 16% year-over-year. Non-interest-bearing deposits of $385 million represent 9% of total deposits. Our internal initiative of using business development officers to gather deposits from loan customers has been successful as business deposits exceed $700 million at December 31, 2017. Funding is also gathered through the iGObanking.com channel. At December 31, its deposits totaled $339 million, while the BankPurely balances were over $60 million. We are beginning to see rate pressure with increased competition for deposits, the average cost of funds has increased two basis points during the quarter. We continue to remain disciplined in terms of deposit pricing, while remaining competitive within our market. Slide 9 depicts the composition of our funding mix. As funding has continued to grow, the percentage related to CDs and borrowings has decreased. However, when the need arises to access the wholesale funding markets, there are advantages as we can ladder out liabilities for longer terms where the consumer does not want to tie-up money for much longer than 18 months. Turning to Slide 10, net interest income for the fourth quarter of 2017 was $43 million, up 2% year-over-year, and flat quarter-over-quarter. The net interest margin at 2.90% decreased 6 basis points year-over-year, but was flat quarter-over-quarter. Excluding the prepayment penalty income, accelerated accretion of discount and recovered interest from non-accrual loans, the net interest margin for the linked quarter was flat at 277. Our overall cost of funds for the quarter was 1.17%, an increase of 16 basis points year-over-year and 2 basis points quarter-over-quarter, driven by an increase in the rates paid on CDs, government deposits and short-term borrowings. While the net interest margin will likely remain pressured, we will continue to focus on increasing net interest income by leveraging loan pricing opportunities and the portfolio mix. For the second consecutive time since the fourth quarter of 2008, the yield on quarterly loan originations exceeded the quarterly yield on the loan portfolio. During the quarter, we executed $400 million of forward swap transactions to reduce the effects of rising interest rates on our interest-bearing liabilities. These swaps begin in various points in 2018 and 2019 and expire in 2023 and 2024 respectively. We will continue to evaluate this strategy and enter similar transactions if we believe that it’s prudent. On Slide 11, we reported non-interest income for the fourth quarter of 2017 of $3.1 million, but core non-interest income was $3.7 million. Core non-interest income increased 44% compared to the fourth quarter of 2016 and 27% compared to the third quarter of 2017. The year-over-year increase was driven largely by growth in banking service fee income; gain on sale of loans, bank-owned life insurance and other income. Moving to slide 12, non-interest expense for the fourth quarter of 2017 was $26 million, slightly improving quarter-over-quarter and 4.5% year-over-year. The year-over-year improvement was driven by decreased salaries and benefits, lower foreclosure expense due to continued improvement in asset quality and a reduction in the FDIC insurance expense. Lower expenses associated with the FDIC insurance and the foreclosures should be sustainable. Overall, the efficiency ratio was 55% in the fourth quarter of 2017, compared to 57% in the third quarter of 2017 and 60% in the fourth quarter of 2016. As John previously mentioned, our long-term goal is to maintain an efficiency ratio in the low to mid-50s. We are focused on continuous improvement and new opportunities in our operations for efficiency gains. Regarding taxes, we anticipate the effective tax rate to be approximately 23% for 2018 as a result of the new Federal tax rate of 21%. As a reminder, we have seasonality in our non-interest expense and the first quarter of 2018 we will see a large increase in our expenses. Now, turning to credit quality on Slide 13, our credit metrics remain strong this quarter. Net charge-offs were $11.5 million for the quarter, primarily due to taxi medallion loans totaling $11.2 million resulting in remaining book value of $6.8 million. Importantly, we continue to record charge-offs earlier in the delinquency process. As a reminder, we are a historical seller of non-performing credits. The average loan-to-value of our non-performing real estate loans is 40% based upon the value of the underlying collateral at origination and we do not adjust the appraised values for increases. The loan-to-value should be conservative based upon the methodology employed. Non-performing loans totaled $18 million, down 15% year-over-year despite increasing quarter-over-quarter. The quarter-over-quarter increase is primarily due to loans past the maturity date that continued to make their scheduled payments. The taxi medallion loan portfolio totals just 13 basis points of total loans and it’s comprised primarily of New York City medallions which are carried at approximately $164,000 net of the allocated balance for loan losses. Slide 14 highlights the effects of our strong underwriting discipline with our history of minimal 90-day delinquencies as a percentage of loans originated by year. As you can see, there are only four loans delinquent greater than 90 days for vintage years after 2009, which is an impressive run for the last eight years. Moving to slide 15, our coverage ratio is at 112% and has been increasing year-over-year due to improving credit quality and our reserve building. As John highlighted, we’ve recorded provision for loan losses of $6.6 million as estimated fair value of the New York City taxi medallions were lower based on most recent sales data. The allowance for gross loans totaled 39 basis points at 12/31/2017, down from 46 basis points as of December 31, 2016. With expected loan growth, we anticipate recording provision for loan losses proportionate with that growth in future quarters to maintain an adequate ratio. As always, we continue to monitor credit quality closely to ensure that we have an appropriate loan loss reserve. With that, I'll turn it back to John for some closing thoughts.
John Buran: Thank you, Susan. Wrapping up, Slide 16 provides a summary of why we believe we remain well-positioned for continued strategic and profitable growth. To reiterate, our vision is to be the preeminent community financial services company in our multicultural market by exceeding customer expectations and leveraging our strong banking relationships. The New York City market continues to represent a significant opportunity for us. We remain focused on providing a superior and consistent experience at every touch point for our customers and maximizing shareholder value. Those of you who have held our stock for over the last five years know our total shareholder return has been 108%. In conclusion, we have a strong foundation a proven track record, a clear strategy and a seasoned leadership team with a commitment to drive continued profitable growth. We will now take questions as time permits. Operator, I'll turn it over to you.
Operator: [Operator Instructions] The first question comes from Collyn Gilbert with KBW. Please go ahead.
Collyn Gilbert: Thanks, good morning everyone.
Susan Cullen: Good morning.
John Buran: Good morning.
Collyn Gilbert: I apologize, I know you guys covered a lot in the slides and unfortunately I didn’t have the slides for the call. So, if I am repeating things that you’ve already kind of laid out in there, I apologize. But, if I could just kind of start with the NIM, and I know you had indicated that you expect continued compression. But likely offset to hopefully increase the NII. Can you just talk about kind of moving the dynamics that are going on there and I am assuming obviously the loan mix is also what’s impacting the loan yield declines. But just sort of your outlook for the NIM and then as well as outlook for loan growth?
John Buran: Right. So we did have a quarter-over-quarter decline in the – in new loans coming on board in terms of yield. But over the course of the year, we were up about 34 basis points. So, I think that that trend will be the type of trend that we will continue to see as lower yielding loans roll off. It looks like we may actually start to see a little bit more benefit because the yield curve seems to be sloping upward a little bit. So you have that dynamic working which is a natural 20% or so of the loan portfolio rolling off. Some of which is contractually set up to move up in rates to begin with. Secondly, we have a number of loans that are backed up by swaps and that’s somewhere around…
Susan Cullen: 280
John Buran: $280 million and in addition, we have this $400 million of liability hedges that we just recently put in place, forward-looking hedges. So, those are the dynamics that are tending to work in our favor. Obviously, the one that’s not working in our favor is the continued increase in the short-end of the curve by the Federal Reserve actions. But, I do certainly see the loan portfolio starting to give us positive news and it has the last couple of quarters as new loans have come on at a better yield than the portfolio and I expect that that trend will continue into the year, particularly as we put on a little bit more in the C&I world.
Collyn Gilbert: Okay, okay. That’s helpful. And just, specifically to the $400 million of swaps that you added, what – do you anticipate that impact to be on the NIM for those – for the funding cost for those?
John Buran: So, obviously, that’s going to depend upon the movement in rates. We already know that they are – there are already in the money providing as a positive impact on NIM. I can’t recall what the dollar amount is. It’s small at this point in time.
Susan Cullen: Because we entered into them in the middle to latter part of December, but they are in the money as John said, and given the size and we expect to have some meaningful impact on our NIM going forward.
John Buran: So, if you think in terms of – let’s say interest protection that we have, we may have about $700 million, roughly three on the asset side of the balance sheet and $400 million on the liability side of the balance sheet that we think will help us stable some of the NIM pressure that we had experienced.
Collyn Gilbert: Okay, okay. And then, outlook for loan growth and maybe what the mix of loans you are kind of expecting as the year progresses?
John Buran: I think we’ve – similar to our guidance last year; we talked about a high-single-digits to low double-digits. We clearly came in on high-single-digits this year. I think some of that is going to depend upon where we fall in the range is going to be dependent somewhat upon the activity in the multifamily market. We do know that that one competitor appears to be pulling back a little bit on that market, possibly another competitor will be jumping in. So, a little bit unknown in that category. But we do have – we do have a robust pipeline in our commercial space or business banking space, non-commercial real estate business banking space.
Collyn Gilbert: Okay, okay. That’s helpful. And then just the impact of the government deposits rolling out in the fourth quarter, you said you had to utilize borrowings and then now they are coming back on, just curious of the cost differential between those, roughly $327 million or so of what you had to pay on the government deposits versus borrowings?
John Buran: Somewhere around 50 basis points.
Collyn Gilbert: Okay, so you got a 50 basis point pick-up when they – on the deposits versus the borrowings?
John Buran: Correct.
Collyn Gilbert: Okay, okay.
John Buran: Correct.
Collyn Gilbert: All right. That’s helpful. And then, just on the reserves, so obviously, resolution of taxi this quarter, how should I presume that the drop in the allowances, because you had a specific reserve tied to the taxi, but how should we think about kind of the reserve levels trending from here?
Susan Cullen: The reserve levels should trend upwards as our growth goes. So, as I said in the remarks, the allowance should be commensurate what the growth in the loan portfolio. We don’t anticipate change in our methodology anytime soon until we have undersea some. So we would expect it to remain relatively constant but growing for the loan portfolio growth.
Collyn Gilbert: Got it. Okay, that’s helpful. All right. I’ll leave it there. Thank you.
Susan Cullen: Thank you.
John Buran: Thank you, Collyn.
Operator: The next question comes from Steven Comery with Gabelli. Please go ahead.
Steven Comery : Hey, thanks for taking my question. I was just wondering and kind of Collyn touched on this, but – so the decline in the origination yields of 10 basis points, was that due to mix shift? I know you guys brought on more multifamily in the fourth quarter versus the third quarter or was pricing actually coming down across the board?
John Buran: No, I think there was a little bit of a mix shift there. But the multifamily market has been kind of up and down over the course of the yield and in the year. And in this particular quarter, we just had a little bit more multifamily than we had commercial real estate or C&I. So, I think you will see some differential swinging back and forth as we look for opportunities to either grow or where more opportunities to pickup yield. But, I think the important thing to recognize is there is an overall trend that’s taking place as a result of the repricing of the multifamily and the commercial real estate portfolio. The contractual repricing of those loans going forward to the tune of 20% of the portfolio, 20% to – between 20% and 25% of the portfolio changing over the course of any given year. So, we think that there is a baseline trend that is going to be net positive for the loan yields and that will be either greater or lesser in any given quarter based upon the mix. That’s probably the best way of putting it.
Steven Comery : Okay. Thanks, that’s helpful. And then, just on the C&I growth, I mean, you guys had a pretty good quarter there and the quarter, really good quarter, and the fourth quarter as far as growing that. Are conditions improving there? Are you guys getting better approaching borrowers? Or what’s going on there?
John Buran: I just think it’s a natural result of our continued focus in this area, and we are always on the outlook for new lenders. So, as those new lenders come on board, it sometimes takes them a little while to get, let’s say seasoned, to get their customers moved over. So, there is this progression that takes place and I think you’ve seen that in the last couple of quarters or so. And we are very pleased with the state of that pipeline at this point in time as well. So we are in very good shape for continued growth in C&I.
Steven Comery : Okay, very good. And then, one more for me. On the conversion in the Universal Banker branches, you guys mentioned a 20% savings in comp cost, can you give us an idea of kind of what the dollar amount of that is, as far as what the total comp costs are or maybe what that 20% is? If you have some idea of that magnitude?
John Buran: So, let’s say the typical branch might have
Susan Cullen: Six, eight.
John Buran: Eight FTE, let’s say, typical branch might have eight FTE. We might drop two of those FTE. The average salaries there might be around $50,000, $55,000 plus fringe. So, I can’t do that math in my head. But, it’s basically those two FTE and then whatever we can garner in terms of on top of that whatever we can garner in terms of smaller footprint has a positive impact as we reconfigure the real estate as well.
Steven Comery : Okay. So, well it sounds like a good starting point anyway. Okay, thanks guys.
Operator: [Operator Instructions] The next question comes from Brody Preston with Piper Jaffray. Please go ahead.
Brody Preston: Good morning guys. How are you?
Susan Cullen: Good morning.
John Buran: Good morning.
Brody Preston: I just – let’s start with the swaps. I just wanted to get an idea as to – those must have been floating to fixed and so I just wanted to get an idea as to what the rate is that you are paying on those?
Susan Cullen: You are right. They are floating to fix. They are LIBOR based. So they move. We estimate the cost on to be about $0.02 per share going forward.
Brody Preston: You estimate what?
Susan Cullen: About $0.02 per share.
Brody Preston: Of pickups?
Susan Cullen: Well, we put them on with the interest rates being where they were at the time, the estimated cost will be $0.02. However, rates move since we’ve put those on and as John mentioned, we’ve seen a little bit of a pickup on those.
Brody Preston: Okay, okay. I got you, I got you. Yes, thank you. And then, just sort of touching on the core mortgage loan yields, so for your ex prepay on those, I have those declining by about eight basis points. I just wanted to get a sense for – I guess what, what current multifamily loan yields are and sort of your feeling on the multifamily market, if you are seeing any pickup in transaction volumes at all?
John Buran: I think transaction volumes have been relatively stable. The yields on that portfolio vary on what’s going on in the market. So, at the – for the largest products, we are probably getting about 3.75 or so. That’s what the market is for smaller multifamily, it can be into the fours.
Brody Preston: Okay, that’s okay.
John Buran: So, we have two efforts. We have two efforts on – in that area. So, one is directly focused against larger multifamily and then we have a separate group of sales people that focus on the smaller multifamily. So, even within the multifamily, there is a risk – a mix dynamic. Those numbers by the way are four or five year resets.
Brody Preston: Yes, yes, okay. Got it. And then, you mentioned earlier in your prepared remarks about the 20% of – I guess, the CRE/multifamily portfolio rolling off and being replaced at potentially higher yields. I just wanted to get a sense for what the yield differential was between, you said 3.75 to 4 for multifamily on average. So I guess what the yield pickup there from a 20% roll offs?
John Buran: So, contractually, they reprice – they are contractually scheduled to reprice 200 basis points over the Federal Home Loan Bank maturity - Federal Home Loan Bank borrowing maturity. So, what generally occurs, is that, the customer makes a decision at that point in time, whether they want to go through the additional expense to move to another lender or do they want to pay an additional 200 basis points over the Federal Home Loan Bank level, which is part of the contractually oriented. So, five-year FHLB rates right now are 285. So, we are talking about 485 contractually, sometimes there is a little bit of negotiation going on. So, we may not get the 485, but the borrowers generally come back to us.
Brody Preston: Okay, are they allowed to prepay and refi with you guys?
John Buran: Yes, they are. Usually, that also requires at least on our part some additional above market rate. There is clearly we have leverage at that point in time.
Brody Preston: Okay, that’s good color. And, I guess, going back to the loan growth guide of high-single to low-double-digits, with the loan-to-deposit ratio at 118%, I know you said you had some inflows from government deposits. I guess, is that becoming a constraining factor on growth at all? Or are you expecting that to trend down given the government deposit inflows in the first quarter so far?
John Buran: I am sorry. Just, could you repeat the question?
Brody Preston: Yes, I guess, it was a bit of a two-parter, I guess. One, is the loan-to-deposit ratio given where it is now at 118% a constraining factor on growth moving forward at all? And do you expect that number to trend down given the inflows that you’ve seen from government deposits so far in the first quarter?
John Buran: So, we do not see – let’s say, it’s a constraint on our growth. As a matter of fact, I think it in some case, our ability and our willingness to go out into the wholesale markets has enabled us to ladder out our liabilities to some degree. So, we will kind of look at it as an advantage to – and we are not concerned about the loan-to-deposit ratio being at this level. That said, we think that the influx of additional government deposits should help to bring that level down.
Brody Preston: Okay. And then, one last question for me. I know you said that you are going to continue with the conversion to Universal Banker that now looks like just based on the question earlier, saves you about a little over $100,000 in compensation costs just given the FTE cuts that you outlined. So I guess, just for the outlook for expenses moving forward, did I hear you say that you expect it to be flat moving forward into 2018?
Susan Cullen: Year-over-year, yes, it will be flat. But remember, we have the seasonality, which will give us an increase in G&A expenses in the first quarter.
Brody Preston: But for overall, for the year?
Susan Cullen: Overall, it will be relatively flat.
Brody Preston: Okay, great. Thank you very much guys.
John Buran: Great, thank you.
Susan Cullen: Thank you.
Operator: Showing no more questions in the queue, this will conclude our question-and-answer session. I would like to turn the conference back to John Buran for any closing remarks.
John Buran: Well, we want to thank everybody for joining us today on our fourth quarter 2017 earnings call. And we appreciate your support of Flushing Financial Corporation. We look forward to talking with you next quarter and thank you again for your attention and your questions.
Susan Cullen: Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.